Operator: Greetings, and welcome to the Gentherm Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Gregory Blanchette, Senior Director, Investor Relations. Please go ahead.
Gregory Blanchette: Thank you, and good morning, everyone. Thanks for joining us today. Gentherm's earnings results were released earlier this morning, and a copy of the release is available at gentherm.com. Additionally, a webcast replay of today's call will be available later today on the Investor Relations section of Gentherm's website. During this call, we will make forward-looking statements within the meaning of federal securities laws. These statements reflect our current views with respect to future events and financial performance, and actual results may differ materially. We undertake no obligation to update them, except as required by law. Please see Gentherm's earnings release and its SEC filings, including the latest 10-K and subsequent reports for discussions of our risk factors and other significant assumptions, risks and uncertainties underlying such forward-looking statements. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in our earnings release and investor presentation. On the call with me today are Bill Presley, President and Chief Executive Officer; and Jon Douyard, Chief Financial Officer. During their comments, they will be referring to a presentation deck that we've made available on the Investors section of Gentherm's website. After the prepared remarks, we'd be pleased to take your questions. Now I'd like to turn the call over to Bill.
William T. Presley: Thank you, Greg, and good morning, everyone. I want to start on Slide 3 with a few key performance highlights for the second quarter. The Gentherm team delivered results in line with our expectations in a highly dynamic environment. We improved adjusted EBITDA margin performance versus the first quarter by more than 100 basis points and achieved another strong quarter of automotive new business awards with over $600 million secured in Q2 and $1 billion year-to-date. This keeps us on track for another robust year. We received a significant award from Ford on their F-Series platform, and I would like to use this as an example of how Gentherm is strategically positioned as a differentiated solutions provider. We have industry-leading technology and strong customer relationships, which position us well for this highly contested award. We secured all of the heat, ventilation, lumbar and massage systems on Ford's next-generation F-150, F-250 and F-350 platforms, making us the full comfort solution provider on one of the most significant platforms in the market. The F-Series truck platform is the #1 volume vehicle in North America and is in the top 5 globally. This reinforces that Gentherm thermal and pneumatic products are not just focused on the luxury vehicle segment, but they are becoming the customer standard and applicable to large volume platforms. Additionally, it's important to note that Gentherm was awarded the program prior to the selection of a Tier 1 seat supplier, demonstrating the strength of our commercial approach, which is built around direct OEM engagement. Our products are an essential component in the OEM product planning process, and we work closely with them to deliver capability and value to the end user. I am grateful to the team for securing the significant new business award. We continue to innovate thermal and pneumatic solutions that allow us to create a highly desirable value-added feature for the market. Turning to revenue. In the second quarter, Automotive Climate and Comfort Solutions outperformed actual light vehicle production in our key markets by 10 basis points, excluding FX. While we are not pleased with the overall result, we did have strong outperformance in North America and Europe, weighed down by underperformance in Asia, where our share does not currently represent the market. We recognize the importance of shifting our customer mix and are actively tailoring our pursuit maps to close the gap in Asia. To demonstrate progress we have made to proactively grow our business with Chinese domestic OEMs. If you look at our awards year-to-date, 70% of our Chinese awards were with Chinese domestic OEMs compared to 50% over the last 2 years as a result of the team's efforts. Historically in China, our customer revenue mix was about 80-20 in favor of the global OEMs, and we expect next year to be closer to 60-40. It remains a key strategic priority for us to shift our China customer mix toward domestic OEMs to be more closely aligned to the overall market. Operationally, we are laying the necessary foundation for driving improved operational and financial performance, which will allow us to strategically deploy capital. Now on to Slide 4 for an update of our progress against our strategic priorities. We are committed to driving strategic profitable growth and confident in the growth trajectory of our core automotive business. Pneumatic, lumbar and massage adoption rates are accelerating. In 2024, the product line grew more than 20% from the prior year. And year-to-date, we've grown more than 15%. We expect that trend to continue. We project that our lumbar and massage product line will grow from approximately $175 million in 2024 to well over $300 million by 2027. Growth will be driven by increasing adoption and recent awards that have not yet gone into production. These include GM full-size truck platform, a Hyundai vehicle with Puls.A technology as well as multiple domestic Chinese OEMs, including Leapmotor. Separately, we are executing on our strategy to expand into near adjacent markets and are gaining momentum. Over the first half of the year, our global team has engaged with over 30 customers across a variety of end markets, and the feedback has been overwhelmingly positive as customers are now expecting the same comfort solutions as those in the light vehicle market. We demonstrated quick progress and secured 5 new awards in the quarter, including 2 new commercial vehicle programs with our thermal management solutions and 3 valve awards for powersports platforms. These wins validate that our products have broader application, and we see additional early opportunities in these markets as well as 2-wheelers and motion furniture. I am impressed with our team's ability to quickly pivot beyond the light vehicle market, and we do believe this is just the beginning. Second, we continue to position the medical business for future growth. We announced an expanded strategic partnership with DUOMED to enhance European distribution, increasing market access for our existing product portfolio. And we progressed our work on new medical product development and expect announcements in the coming quarters. Operationally, I spent time with the leadership team in 5 of our manufacturing sites during the quarter, performing workshops, sharing best practices and standardizing business processes. In my visits, I have observed best-in-class capabilities and will drive these across the company as part of a standardized company operating system. Our global strategic footprint realignment plans remain on track and expect to be substantially completed with our announced plans in late 2026 as previously communicated. M&A is an important component of our capital allocation strategy. We have progressed the M&A funnel development and are evaluating opportunities aligned with our strategic priorities and core technology platforms. And now I will turn the call over to John to review second quarter highlights and results. John?
Jonathan C. Douyard: Thanks, Bill. Please turn to Slide 5. For the second quarter, we secured $620 million of automotive new business awards. A few highlights include the Ford F-Series program, which, as Bill mentioned, is an important strategic win that secures our content on the highest volume platform in North America for the next decade. Our technology leadership was further reinforced as we secured additional Puls.A awards on 4 vehicles with JLR and BMW as they scale the technology across their platforms. Puls.A, our proprietary pulsating massage system, is gaining traction and its performance remains unmatched in the market. With increasing momentum among OEMs, we expect this innovation to drive profitable incremental growth of our Lumbar and Massage Comfort Solutions business for years to come. We are also winning in China with Chinese domestic OEMs, including BYD, Great Wall and Leapmotor. These awards will drive incremental growth in China, resulting in a shift of our customer mix over time to be more aligned with the overall Chinese market. To that end, we launched 9 new programs in the quarter, including several programs with Chinese domestic OEMs, highlighted by the launch of a steering wheel heat with hands-on detection program with Xiaomi on the YU7, which is expected to become one of the highest volume vehicles in China over the next several years. Additionally, as mentioned earlier in the year, we won a thermal control unit program across several Stellantis vehicle platforms for both seat and steering wheel heat control. And in the quarter, we were excited to launch on the Ram 1500. Please turn to Slide 6 for a more detailed review of the second quarter financial results. Second quarter revenue decreased 0.2% compared to the same period last year. Foreign exchange adjusted revenues decreased 1.6%. Automotive, Climate and Comfort Solutions revenue increased 3.8% year-over-year or 2.5% ex FX, which partially offset planned revenue decreases from previously discussed strategic exits. Medical revenue decreased 3.8% year-over-year or 4.8%, excluding the impact of FX. Turning to profitability. We delivered $45.9 million of adjusted EBITDA in the quarter or 12.2% of sales compared to 13.3% in the second quarter of last year. The decrease was primarily driven by higher material costs, which includes unfavorable product mix as well as higher labor costs and expenses related to our footprint realignment. As we discussed previously, we experienced timing disconnects between tariff expense and recovery as well as dilution from the pass-through revenue, which collectively impacted margins by approximately 15 basis points in the quarter. Overall, our team has done a nice job of running the playbook to mitigate tariff exposure. Adjusted diluted earnings per share in the quarter were $0.54 per share compared to $0.66 per share in the second quarter of last year. Our balance sheet remains strong, and we have generated $32 million of operating cash flow year-to-date. We repurchased $10 million of shares in the second quarter, and we'll continue to balance repurchases with other strategic priorities moving forward. Overall net debt stood at $81 million, while our net leverage ratio remained flat at 0.5 turns. Our available liquidity was $416 million at the end of the quarter, an increase of $15 million from the prior year. Please turn to Slide 7 for a discussion on our guidance for the remainder of the year. Overall, sentiment has improved since April. We continue to diligently monitor the market, including industry reports as well as customer production schedules, which have remained relatively stable throughout the entire year. Based on the latest available information, we have updated our guidance and increased the revenue midpoint. We now expect revenue to be in the range of $1.43 billion to $1.5 billion. On EBITDA, given our results year-to- date, increased clarity on the impact of tariffs based on what is in place today as well as the expectation of improved performance in the second half, we have narrowed the adjusted EBITDA margin range to 11.7% to 12.5%. On capital expenditures, we are reducing our expected range to $55 million to $65 million to reflect the focus on optimizing the utilization of current plant equipment while also scrutinizing new projects. As we think about the cadence for the remainder of the year, we expect third quarter overall results to be roughly in line with the second quarter despite industry reports suggesting a mid-single-digit decrease in light vehicle production sequentially. In closing, we remain on track to deliver our financial commitments for the year while positioning the company to drive shareholder value over the long term. With that, I will hand it back to Bill for closing remarks.
William T. Presley: Thanks, John. I want to wrap up on Slide 8, reiterating our belief that Gentherm is uniquely positioned for long-term value creation. We remain focused on driving profitable growth of our innovative and differentiated core technology platforms. In a short time, we have proven these are scalable and portable to adjacent markets. Next, we are committed to driving margin expansion through continuous improvement and have a clear path with our strategic footprint realignment and focused efforts on the margin profile of the Lumbar and Massage Comfort Solutions business. Lastly, we are operating from a strong financial position. We remain flexible and opportunistic with our capital allocation priorities to drive shareholder value. In conclusion, we are acting with a sense of urgency on the execution of our long-term strategic priorities to deliver enhanced shareholder returns. With that, I will turn the call back to the operator to begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from Ryan Sigdahl with Craig-Hallum.
Ryan Ronald Sigdahl: Nice quarter update. Let's start on guidance since you ended with it. You mentioned Q3 expected to be similar to Q2 results despite the industry decline of mid-single digits. Is that a different -- or I guess, is that a company-specific outperformance you expect given the visibility from new launches? Or do you have a different view from an industry production standpoint than where the forecasts are at?
Jonathan C. Douyard: Ryan, I think, I would say it's company-specific to you. I mean we do have a number of new launches that are going to come out in the third quarter really across the regions. But also, as we look at -- as we've talked about throughout the year, we've been very consistent from a customer production schedule standpoint. So the visibility we have here in the short term solidifies our view that Q3 looks a lot like Q2 from a top line perspective and expect the P&L to follow.
Ryan Ronald Sigdahl: Very good. Then just switching over to Ford. Nice to see that new F-series. Full Comfort Solutions portfolio on Ford F-Series. I guess, can you compare and contrast how that compares to -- because you guys had a lot of content on the previous or the current F-Series, but what's new, what's different current versus the next gen?
William T. Presley: Yes. For us, Ryan, this is Bill. That was continuation really of our current platform. So similar content as previous F-Series. It just solidifies the desire of the customer to have our features because of the value that it provides to the end user. And significant for us because of our strong relationships with the customer, because of our innovative product line, we're able to work with the customer while they're doing their product planning and be sourced into the product before they've even chosen a seat supplier.
Ryan Ronald Sigdahl: Yes. And certainly nice to have that extension with a core customer, especially given some of the noise in the market. Last question for me, and then I'll turn it over to the others. Just on the adjacencies, I believe you called out 3 powersports platforms that you have awards. Anything you can expand on that, who the OEMs are, what the content provided, et cetera?
William T. Presley: I can't expand on who the OEM is. I'll tell you that they're UTV-style vehicles. So -- and it just proves the thesis that our valves really being a, what I call a catalog component, read across to other industries, and our teams have been out there calling directly on those other end markets, right, to provide our solutions. So we're very positive on what we think we can do there. We're just building the channel, but we think this is a great opportunity for us in the future.
Ryan Ronald Sigdahl: Just to clarify, you said single OEM with 3 platforms.
William T. Presley: Yes.
Operator: Next question, Ryan Brinkman with JPMorgan.
Ryan Joseph Brinkman: One thing that I think really stood out from your earnings call last quarter was the large opportunity you saw in the nonautomotive end market. So it's great to see the awards already in powersports and commercial vehicles. Thought asking questions around that. Starting with powersports, I'm recalling an award early in the pandemic for heated and cooled seats on Indian motorcycles. Is that what you're doing as well heated and cooled seats? You mentioned utility vehicles. I'm not sure -- snowmobile seems obvious candidate. And then on the commercial vehicles, are these commercial trucks? And can you remind us what, if any, business you do today in commercial trucks? And then also on some of the less obvious adjacencies, thank you for helping us with furniture being another. I hadn't thought of that, but obviously makes a lot of sense. Did you mention another end market, too? I might have missed that. And then finally, you mentioned valves. And I just want to be clear, is valves separate from these other awards? I imagine that furniture, commercial trucks, utility vehicles, whatever, that would be heated and cooled seats. Is valves somehow different? And what are you looking at potentially supplying there, if not heated and cooled seats?
William T. Presley: Yes. So let me try to take those. My team will keep me honest here on the number of questions. I think I'll hit them all. So let me just start with saying, look, our alternative -- our commercial vehicle is extremely small today, almost like negligible in the company. So the commercial vehicle wins that we're talking about here are specifically thermal solutions, and there were 2 awards on commercial vehicle. One of them is actually a heavy truck, so a Class A over-the-road truck. So that's a big win for us there. And the other one is a last mile delivery van. So both commercial vehicles, both good wins, so new wins for us. The valves specifically were in the powersports platforms that was separate of any thermal and pneumatic solution. And again, that was a good win. The team engaging directly with the OEM there. The valves for us, we view valves as a separate core strategy or a separate core technology platform, right? If you think back, we said we have 4 core technology platforms. They were thermal solutions. They were pneumatic solutions. There were valves and they were air moving devices. We view valves and air moving devices as catalog parts, meaning it's a flow equation and a dimension. So we go out to the OEMs. We show the value that we can provide, the performance that we can provide, and that's how we're trying to win, and that's what the team brought home this quarter. The other end markets that we specifically mentioned were 2-wheelers. So 2-wheelers would be applicable to our thermal solutions. They would also be applicable to valves. We're in some early proof of concepts, I would say, there with 2- wheelers. And then motion furniture is anything that's not stationary. That's the doors there have opened well. The communications there have been very positive, and we're in early proof of concepts with 2 equipment manufacturers in motion furniture right now.
Jonathan C. Douyard: And I would just add, Ryan, I think we did talk about this on the last call, but this is us taking current product lines and opening up to existing markets. So minimal investment. We're not offering really new products, but tailoring them and looking for opportunities to just enter adjacent markets.
William T. Presley: Yes, I think super good point to clarify, right. Ryan, these are not us creating a bespoke solution for a unique market. This is us scaling our core platform technologies and components. So utilizing literally the same plant property and equipment that we have today out there, pushing what our teams on the thermal and pneumatic side would call standard kits and pushing on the valves what our teams would call catalog parts.
Ryan Joseph Brinkman: Okay. Very helpful. And then just lastly, on the EBITDA margin change in the guide. Obviously, some good traction year-to-date, you're a little bit better than consensus here in the quarter. And just curious if you can comment on that. And I understand it's a little bit of a narrowing, but kind of midpoint down slightly. And then just curious if tariffs have influenced at all. You're one of just a handful of suppliers to have reported 1Q earnings before the April 29 USMCA compliant part exemption from tariffs. Is there maybe like less pass-through of 0 margin tariff costs? Or what are the puts and takes there on -- not a big change, but puts and takes on the full year margin revision, please?
Jonathan C. Douyard: Yes. Let me start on tariffs, Ryan. I mean I think we talked in the quarter about being about a 15 basis point headwind. I would say, generally, the tariffs have played out exactly as we have expected in terms of the cost incurred as well as our ability to pass through and recover. There is also the timing difference between when we do incur the expense and when we do recover it from the customer, and that's really the headwind that we're seeing here. That will fluctuate month-to-month in terms of the magnitude just based on goods movements. But I think we've got better clarity -- certainly better clarity today than we did in April just on the fact that we've been living through it now for a couple of months. So that is a piece of narrowing the EBITDA guidance range as well as having additional clarity on what the tariff impact is overall. I think the other piece to that is you look at the first half of the year, we're 11.7% of EBITDA -- adjusted EBITDA year-to-date. We did see sequential improvement from Q1 to Q2. We expect second half to be in the same range or a little bit better. And as you look at that math, it really sort of narrows it around that low 12s range.
Operator: [Operator Instructions] Next question comes from Matt Koranda with ROTH Capital Partners.
Matthew Butler Koranda: Just on the guidance, I guess I wanted to clarify that to hit the midpoint of the guide on EBITDA, it does look like in the second half, you do need to show a little bit of EBITDA margin expansion relative to the second half of last year. Should we expect that in the third quarter? Or is that more of a fourth quarter event? Maybe just the puts and takes around that.
Jonathan C. Douyard: Yes. I think just to clarify what we said, I think the -- we expect the third quarter to look a lot like the second quarter did. And so it should be similar from an EBITDA margin perspective. We will see an increase as we get into the fourth quarter, and that would be where we see more of the margin expansion. But really, we've got the teams focused on incremental improvements quarter-over- quarter, how do we get better in the factories from a manufacturing and efficiency perspective. And that's really what we're pushing on to see a better second half here.
Matthew Butler Koranda: Okay. And the fourth quarter improvement comes mostly from a mix improvement? Or is that a vendor negotiation thing? What are the kind of buckets where you see the improvement coming from?
Jonathan C. Douyard: No, I would say it's operationally.
Matthew Butler Koranda: Operations. Okay. Got it. And then just I was curious on Asia. You mentioned sort of one of the reasons for the underperformance relative to production is kind of lower exposure to the China domestic OEMs. I guess that would suggest that it's going to take time to sort of close the gap on outperforming China production. Maybe can you speak to that and just sort of how long it may take before you're consistently outperforming production in China over time?
William T. Presley: Yes. I would say if you look at our revenue, what we've been winning, we say by next year, we're at that 60-40 customer split. So 60% global, 40% domestic. So that starts improving actually for us next year, Matt, the Chinese OEMs, their development cycles are much faster. So when we win programs, we can often add revenue anywhere from 6 to 18 months. So as I said in my comments, for the first half of the year, the team has done a phenomenal job. 70% of the wins in China have been with Chinese domestic OEMs. So if you project that out, we're quickly shifting toward what I would say is the mix in the market there. So our plan is to represent the market there sometime in the next 18 to 24 months.
Matthew Butler Koranda: Okay. That's great to hear. Maybe just last quick one. The adjacent market revenue, it's exciting to kind of hear all of the potential adjacent market products that you could be in. Maybe I missed it, maybe you covered it, but just in terms of cycle time for that, I would assume that's much faster than the typical automotive program in terms of sort of when to launch. But could you touch on that really quickly?
William T. Presley: Yes, I think you're spot on. It's surprisingly much faster. So like I said, we're working on proof of concepts now. And these industries and the parts that we're showing them, the components we're showing them because they're already available, their launch times are there 2 market times they talk about in terms of less than a year.
Operator: Thank you. This does conclude today's teleconference. We thank you for your participation. You may now disconnect your lines.